Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Bio-Rad Laboratories' Third Quarter Earnings Call. [Operator Instructions]. I'd now like to hand the conference over to your speaker today, Mr. Ron Hutton, Vice President and Treasurer. Please go ahead.
Ronald Hutton: Thank you, Liz. Good afternoon, and thank you for joining us. Today, we will review the third quarter financial results for 2019. With me on the call today are Norman Schwartz, our CEO; Ilan Daskal, Executive Vice President and Chief Financial Officer; Andy Last, Executive Vice President and Chief Operating Officer; Annette Tumolo, President of the Life Science Group; and John Hertia, President of the Clinical Diagnostics Group.  Before we begin our review, I would like to caution everybody that we will be making forward-looking statements about management's goals, plans and expectations, our future financial performance and other matters. Because our actual results may differ materially from these plans and expectations, you should not place undue reliance on these forward-looking statements. And I encourage you to review our filings with the SEC, where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today.  Our remarks today will also include references to non-GAAP net income and non-GAAP diluted income per share, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings release.  I'd like to turn the call now over to Ilan Daskal. Ilan?
Ilan Daskal: Thank you, Ron. Good afternoon, and thank you all for joining us. We will review the results on a GAAP basis as well as commentary on a non-GAAP basis. Net sales for the third quarter of 2019 were $560.6 million, which is an increase of 2.8% on a reported basis versus $545.1 million in Q3 of 2018. On a currency-neutral basis, sales increased 4.5%. During the quarter, we experienced good demand across many of our key product areas and growth in all 3 regions.  When comparing to the third quarter of last year, remember that Q3 of 2018 included about $6 million of sales that customers pulled into the second quarter of 2018, substantially all of it related to our Diagnostics business. If we adjust the easy compare of the sales that customers pulled in last year from Q3 to Q2, we estimate that the year-over-year currency-neutral sales growth for Q3 of 2019 was about 3.4%.  Sales of the Life Science group in the third quarter of 2019 were $215.7 million compared to $206.6 million in Q3 of 2018, which is an increase of 4.5% on a reported basis and 5.7% increase on a currency-neutral basis. Much of the year-over-year growth in the third quarter was driven by double-digit growth in Droplet Digital PCR and in Food Safety as well as good demand within gene expression and western blotting product lines. Process media, which can fluctuate on a quarterly basis, had a slight year-over-year growth. Excluding process media sales, the Life Science business grew about 5.8% year-over-year on a currency-neutral basis.  On a geographic basis, Life Science currency-neutral year-over-year sales grew across all 3 regions. Our Droplet Digital PCR platform continues to have good momentum, and we are scheduled to introduce next month the QX ONE, which is a fully integrated system. This allows customers to fully automate the Droplet Digital PCR workflow and increases the multiplexing capability. We have an initial backlog of orders for this new instrument, and we anticipate production and shipment ramp over the next 12 months.  Sales of Clinical Diagnostics products in the third quarter were $341.8 million compared to $334 million in Q3 of 2018, which is a 2.4% growth on a reported basis and a 4.3% growth on a currency-neutral basis. When adjusting for the $6 million sales that customers pulled in last year from Q3 to Q2, the year-over-year currency-neutral sales growth was about 2.4%. During the quarter, we posted solid growth of Blood Typing, quality control and immunology product lines. This growth was somewhat offset by year-over-year decline within diabetes as a result of price pressure in core markets. On a geographic basis, the Diagnostics group posted nice growth in the Americas and in Asia, while the macroeconomic environment in Europe weighs on the growth rates in the region.  The reported gross margin for the third quarter of 2019 was 54.8% on a GAAP basis and compares to 52.6% in Q3 of 2018. The year-over-year margin increase is driven mainly by product mix and lower cost of inventory reserves. Amortization related to prior acquisitions recorded in cost of goods sold was $3.9 million compared to $4.7 million in Q3 of 2018. SG&A expenses for Q3 of 2019 were $201.6 million or 36% of sales. The SG&A expenses in Q3 of 2018 were $201.2 million or 36.9% and including $4 million of contingent consideration benefit.  Total amortization expense related to acquisitions recorded in SG&A for the quarter was $1.9 million versus $1.8 million in Q3 of 2018. Reducing the SG&A spend continues to remain a focus area to achieve our 2020 goals. Research and development expense in Q3 was $47.9 million or 8.6% of sales compared to $49.2 million or 9% in Q3 of 2018. All of this adds up to a reported Q3 operating income of $57.5 million or 10.2% of sales compared to $36.3 million or 6.7% in Q3 of 2018.  Looking below the operating line, the change in fair market value of the equity securities holdings reduced the reported income by $390.6 million and is substantially related to the holdings of the shares of Sartorius AG. Also during the quarter, interest and other income resulted in net other expense of $2.1 million compared to $4.2 million last year. The year-over-year improvement primarily reflect higher investment income.  The effective tax rate in Q3 of 2019, and was 22.8% and compares to 23.1% in Q3 of 2018. Reported net loss for the third quarter was $258.8 million, and diluted loss per share for the quarter was $8.68. The decrease in net income and earnings per share versus last year is substantially related to the valuation of the Sartorius holdings.  Moving on to the non-GAAP results. Looking at our results on a non-GAAP basis, we have excluded certain atypical and unique items that impacted both the gross and the operating margins as well as other income. These items are detailed in the reconciliation table in the press release.  Looking at the non-GAAP results for the third quarter. In cost of goods sold, we have excluded $3.9 million of amortization of purchased intangibles and $3.2 million of restructuring expenses. These exclusions moved the gross margin for the third quarter of 2019 to a non-GAAP gross margin of 56% versus 53.5% in Q3 of 2018.  The non-GAAP SG&A in the third quarter of 2019 was 35.5% versus 36.3% in Q3 of 2018. In SG&A, on a non-GAAP basis, we have excluded amortization of purchased intangibles of $1.9 million, a restructuring cost of $2.7 million and $1.9 million adjustment to legal reserves. In R&D, we have excluded a small amount of restructuring benefit. The non-GAAP R&D expense in Q3 was 8.5%, which is in line with our expectation.  The cumulative sum of these non-GAAP adjustments result in moving the quarterly operating margin from 10.2% on a GAAP basis to 12% on a non-GAAP basis. This non-GAAP operating margin compares to a non-GAAP operating margin in Q3 of 2018 of 8.2%. We have also excluded certain items below the operating line, which are the decrease in value of the Sartorius equity holdings of $390.6 million as well as a small loss associated with venture investments. The non-GAAP effective tax rate for the quarter was 25.5%, and we estimate the full year tax rate, on a non-GAAP basis, to be approximately 27%, which is primarily driven by the geographic mix of earnings. And finally, non-GAAP net income and diluted earnings per share for the third quarter of 2019 were $48.6 million and $1.61 per share compared to $27.6 million and $0.91 per share in Q3 of 2018.  Moving on to the balance sheet. In the first quarter of 2019, we adopted a new accounting standard related to leases, which requires us to recognize most leases as assets and liabilities on the balance sheet. The right-of-use assets balance in the third quarter was $217.5 million and associated liabilities are included in the other current liabilities and in other long-term liabilities. These balances primarily represent our operating lease obligations for facilities and auto leases. The adoption of this standard has a minimal effect on the income statement.  Total cash and short-term investments at the end of Q3 were $985 million compared to $850 million at the end of 2018. During the quarter, we completed an acquisition of a small manufacturer in the Diagnostics group that will expand our capabilities within our quality control products.  Also during the third quarter, we purchased 14,745 shares of our stock for $5 million at an average share price of $339.05. For the third quarter of 2019, net cash generated from operations was about $100 million, which compares to about $62 million in Q3 of 2018. This improvement mainly reflects the higher operating profits and improved working capital. The adjusted EBITDA for the third quarter of 2019 was $95.1 million or 17% of sales. The adjusted EBITDA in the first 9 months of 2019 was $288.5 million or about 17.1% compared to $253.1 million or 15.1% in the first 9 months of 2018.  Net capital expenditures for the third quarter of 2019 were $31.1 million. We project that the full year CapEx spend will likely be at the low end of the forecasted range of $110 million to $120 million. Depreciation and amortization for the third quarter was $33.6 million.  Moving on to the guidance, the overall performance in the first 9 months of the year. We continue to see strong momentum for the fourth quarter. However, we remain cautious of the macroeconomic softness environment in Europe as well as geopolitical and global trade tension in other parts of the globe. With that in mind, we are maintaining our full year guidance range.  We estimate a full year-over-year currency-neutral revenue growth between 4% and 4.5%. Full year non-GAAP gross margin is projected between 55.5% and 56%, and full year non-GAAP operating margin between 12.5% and 13%.  And with that, we will open the line to take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Brandon Couillard with Jefferies.
Brandon Couillard: Maybe for Ilan. I generally think about Bio-Rad as being the least macro-sensitive business in my coverage universe. Can you sort of elaborate on the parts of the Diagnostics business that you'd perceive as being a little more macro sensitive, perhaps in some instrumentation placements? And then on diabetes pricing that you mentioned in the script, is that a competitive dynamic? And what regions is it mostly concentrated in? If 1 or 2?
John Hertia: Brandon, this is John Hertia, I'll take that. I'd say that the overall macro diagnostics market in Europe is pretty soft. It's not just a function of our product line, but it's just -- in general, if you look at many of the market reports out there, and that's certainly reflected. We did see some growth in EMEA in the quarter. We're mindful about the fact that this was an easy compare to last year. We do look to continue a modest growth trend from EMEA. But as Ilan mentioned, we're watchful of the geopolitical instability and how that might impact our business in the Middle East. With respect to diabetes, we have been continuing to see price pressure over the quarters. That's certainly affected our business, and I'd say across most regions. But I'd also say that some of the decline this year was related to timing, which sometimes happens with shipments in our diabetes business.
Brandon Couillard: And one for Annette. On the QX ONE launch, could you help us just sort of understand the mix of the current backlog between upgrades and new users? Do you expect that system to sort of open up accounts who would adopt it sort of given the workflow and plexing advantages? And can you sort of speak to sort of the traction of the system in the clinical markets right now?
Annette Tumolo: Sure. This system was really designed primarily for BioPharma customers, and we know that we have current BioPharma customers who are interested in adopting the new system as well. But there are customers who have been waiting for this system because of the workflow and the multiplexing capability. I'm not sure if that answered all of your questions, Brandon.
Brandon Couillard: Oh, I think so. Okay. And then maybe -- I'm not sure if Andy's here. Maybe Ilan, you could speak to -- now that you've sort of been in the business for about 6 months, where do you see some of the best opportunities for cost outs? And any specifics -- specific actions you would expect to take kind of over the next 12 months would be helpful.
John Hertia: If you want to?
Andrew Last: I can certainly add. I mean SG&A -- I think Ilan called it out in the script. This is Andy, I'm sorry. SG&A continues to be a focus area for us, and we'll continue to work to reduce that as a percent of sales. Operating efficiencies broadly a gain though well -- we're not working to the release 2020 guidance yet or any expectations around that, but -- and SG&A is the primary focus for us.
Operator: [Operator Instructions]. Our next question comes from the line of Jack Meehan with Barclays.
Jack Meehan: I wanted to continue on with the QX ONE launch and just get a sense for the initial game plan. Is there a menu that you're looking to launch that with? What are some of the key assays that you're planning to roll out over the next year or 2?
Annette Tumolo: That's a great question. So we made sure that this platform was 100% compatible with our current platform and assays. So we have thousands of RUO assays that are available for people to buy today and they can buy them tomorrow for the QX ONE. In addition, we'll be rolling out 4 color versions of those assays, so they could increase their multiplexing in one well with validated assays. Over time, we will likely move this platform into the IVD market, and that's when we'll have regulated menu developed.
Jack Meehan: Got it. Is there any color you can give on the economics of the platform? And is there -- and also, maybe just the size of the current installed base? And how many of those you expect to move on to the new system?
Annette Tumolo: Well, I can say that we have spoken with quite a few current customers who intend to continue to use their old platform and add this platform into their workflow, and we have also spoken to quite a few new customers as well who don't have our platform yet. This is a higher-end platform than the QX200. So you get a lot more flexibility and ease of use and workflow flexibility, and you'll have to pay a little bit more for the platform.
Jack Meehan: Great. Keep it going, Annette. Maybe are there any updates you can provide in terms of some of the new product development in single cell using the droplet technology?
Annette Tumolo: What I can tell you is we have several active programs. We just launched a new product for epigenomics in single cell. It's our ATAC-Seq product that is generating a lot of interest with our customers, and our collaborators are generating a lot of really great data using that kit. And we're working on next-generation systems for a single-cell RNA-Seq as well.
Jack Meehan: Great. And one final one, and I'll hop back in the queue. Just the results are about as in line with my numbers as you can get on the revenue line. So I have to follow-up on Brandon's question related to diabetes. That was really the only delta I see. John, you mentioned some -- there could have been some timing related to that? Is it possible to quantify how much may have moved into the fourth quarter?
John Hertia: Not really.
Operator: We have a follow-up question from the line of Brandon Couillard with Jefferies.
Brandon Couillard: Maybe one for you, John. One of the other diagnostics players in the space alluded to some material change in the macro environment in China, specifically for diagnostics. Just curious if you've seen any changes in the landscape there.
John Hertia: Well, we do -- from a diagnostics perspective, we continue to see significant growth in Asia. But I guess I'd turn it over to Andy to talk about maybe China in general for the company. And then if you have any follow-up questions after that.
Andrew Last: So with respect to China, more specifically, we've been encouraged by our year-to-date performance. We remain optimistic for Q4. I think like everybody else, we'd also put out the caveat that we're closely watching the geopolitical situation and impact of tariffs, which have been, so far, modest in our exposure. But we keep an eye on that for the long term and any changes. So we're cautiously optimistic as we look forward in China.
Brandon Couillard: Okay. And then maybe one follow-up for Annette. Would love to get an update on the cell analysis portfolio. And specifically, any interest you're seeing in the ZE5 Cell imager?
Annette Tumolo: Well, I think we're seeing good demand in our flow analysis products. And with respect to the ZE5, we see a lot of traction in pharma and BioPharma due to the particular feature set and value proposition it offers those customers.
Brandon Couillard: Right. Maybe one for Norman, just to round out here. Cash continues to build pretty substantially on the balance sheet. The buyback is relatively immaterial in the third quarter. Just give us a sense of perhaps why the buyback doesn't seem to be a higher priority? And kind of your current view on the M&A pipeline and whether or not you might be any closer to finding something attractive out there.
Ronald Hutton: So Brandon, I'm [indiscernible].
Norman Schwartz: Yes. It's always...
Ronald Hutton: Go ahead, Norman.
Norman Schwartz: Yes. Yes. I've got that. I think that it's always a balance. You've got opportunities that you're looking at. And so you -- it's -- we try to keep the cash for those. But nevertheless, we did get in the market and did buy back some shares during the quarter. So again, it's a balance between saving it for the right acquisition and the buyback. So we're trying to manage it the best we can.
Operator: We have a follow-up question from the line of Jack Meehan with Barclays.
Jack Meehan: Maybe just to start on the process-risen business, so I know that was up modestly year-over-year. I think previously, you're assuming some modest levels of growth back half over back half. But is that still the implied assumption through the fourth quarter?
Ilan Daskal: So, Jack. Yes, thanks for the question. The answer -- the short answer is yes. I mean we still project the incremental growth to be this year. So obviously, most of the growth we projected in Q4.
Jack Meehan: Okay. And then the gross margin of 56% was really strong, 250 bps year-over-year. Was there anything to call out in terms of some of the efficiency initiatives or mix of consumable versus instrument, which might have helped that progression in the quarter?
Ilan Daskal: Yes. Great question. Thanks, Jack. There is, obviously, the mix with more consumables in this quarter relative to Q3 of 2018. That was definitely one major component there. And two other items that I would highlight will be the lower inventory reserves and the lower logistics cost. These are two items that we called out last year at the same time. And these are definitely items that in assay areas that we improved, and that contributed to the incremental gross margin this quarter.
Jack Meehan: Great. And maybe, Andy, I know you mentioned you weren't giving 2020 guidance at this point. But at the last Analyst Day in November of 2017, you had the 20% target. Just given the progression you've had the last few years and the trajectory year-to-date, I mean does that still feel pretty doable?
Andrew Last: Yes. I think we're optimistic about exiting 2020. And I've stated -- with our stated targets in hand, I think at this point to say we can't achieve that.
Jack Meehan: Great. And maybe just a final one on the income statement, the tax rate came in a little bit below my forecast, but it still feels like there's a lot of opportunity to keep pushing that down over time. Ilan, is there a number you have in mind? Like is this good 25.5% number to use on a go-forward basis?
Ilan Daskal: So, Jack. Yes, thank you. For this year, we project a 27% rate. Overall, it depends on the geographic mix. That's one main item that does impact the overall non-GAAP rate. And long term, we may get to the mid-20s, but I'm not -- I mean I'm not ready right now to kind of forecast 2020, and I'll provide an update on the next call. But for this year, it's still at the 27% level.
Operator: I'm showing no further questions in queue at this time, so that will conclude today's question-and-answer session. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.